Operator: Good day everyone and welcome to the Green Plains Third Quarter 2014 Financial Results Conference Call. Today’s call is being recorded. At this time I would like to turn the call over to Mr. Jim Stark. Please go ahead, sir.
Jim Stark: Thanks and welcome to our Third Quarter 2014 Earnings Conference Call. On the call this morning are Todd Becker, President and Chief Executive Officer; Jerry Peters, our CFO; Jeff Briggs, our Chief Operating Officer, and Steve Bleyl, who is Executive Vice President of Ethanol Marketing. We are here to discuss our quarterly financial results and recent developments for Green Plains. There is a slide presentation for you to follow along with as we go through our comments today. You can find this presentation on our website at gpreinc.com on the investor page under the Events and Presentations link. Our comments today will contain forward looking statements which are any statements made, that are not historical facts. These forward looking statements are based on the current expectations of Green Plains management team and there can be no assurance that such expectations will prove to be correct. Because forward-looking statements involve risk and uncertainties, Green Plains actual results could differ materially from management’s expectations. Please refer to Page two of the website presentation and our 10-K and other periodic SEC filings for information about the factors that could cause different outcomes. The information presented today is time sensitive and is accurate only at this time. If any portion of this presentation is rebroadcasted, retransmitted or redistributed at a later date, Green Plains will not be reviewing or updating this material. I’ll now turn the call over to Todd Becker.
Todd Becker: Thanks Jim and good morning everybody thanks for joining our call today. We produced solid financial results for the third quarter with net income of $41.7 million or $1.03 per share. In the last four quarters we have generated record operating income of $263 million and $324 million of EBITA. Our plants produced 933 million gallons of ethanol over the last 12 months. Besides scaling and scope of the business we have build can produced substantial results and we continue to look at growth opportunities to expand our footprint across all segment of our operations. For the third quarter our ethanol production was a record 247 million gallons or approximately 96% of our expected daily average production capacity. We also produced a record amount of distillers grains close to 700,000 tons in the third quarter and also produced a record amount of corn oil at 63 million pounds. The statistics just mentioned enable us to generate $84 million in total segment operating income before corporate costs. We continue to work on expanding our merchant activities and now can take advantage of market opportunities more regularly and the acquisitions of our cattle feed yard was also slightly accretive in the third quarter earnings as well. We have completed 8 million bushels of our storage expansion brining our grand storage total to 38 million bushels at our four elevators and 12 ethanol plans. We are working to complete the storage project at Obion to add additional 5 million bushels which should be completed in early 2015. Once complete we will have 43 million bushels of grand storage across our segments with a goal of exceeding 50 million bushels by next harvest and long term aspirations of a significantly more within our supply chain. Our continued reinvestment campaign is on track for this initiative. Q3 was a strong quarter for Green Plains as expected and we continue to focus on risk management and operation excellence across the platform. Now I’ll turn the call over to Jerry to review our third quarter financial performance and I’ll come back after that to discuss the outlook heading into 2015.
Jerry Peters: Thanks Todd and good morning everyone. Our third quarter financial performance was the second best earnings quarter in the history of Green Plains. We reported net income of $41.7 million or $1.3 per diluted share compared to $9.4 million or $0.28 per share last year. Consolidated revenues were $834 million in the third quarter which was up 10% from a year ago. Similar to last quarter volumes sold for each of our primary commodities increased substantially. While average prices realize continue to decline. Volumes of ethanol sold increased 21% to 291 million gallons while the average realize price per gallon was 14% lower than last year third quarter. The two ethanol plans added at the end of November 2013 accounted for the majority of the increase of 69 million gallons of ethanol production year-over-year and was also the driver for a 39% increase in distillers grains production and a 50% increase crone oil production compared to the third quarter of last year. Our consolidated operating income for the quarter was $75.1 million versus $25.5 million a year ago primarily as a result for the higher production levels I just discussed and an overall better margin environment in the ethanol industry. Now for a rundown of our segment results. The ethanol production segment generated $54.9 million of operating income for the third quarter compare to $17.9 million last year. Taking a look at Slide 4 of the online presentation, you will see that we generate operating income before depreciation and amortization in the ethanol segment of $0.27 per gallon compared to $0.16 realized in the third quarter of 2013. And remember that does not include corn oil production which on a per ethanol gallon basis contributed nearly another $0.05 in the current quarter. In addition we had a positive inner-segment elimination of approximately $6.8 million in the quarter which was the remainder of the first quarter differed profits. Our ethanol inventory levels have stabilized during the third quarter while the average margin per gallon realized by the ethanol production segment has gradually decreased. That resulted in a reduction in accumulative differed inner segment profits during the third quarter. This was partially offset by increased inner segment profits eliminated for corn oil and distillers grain that were in transit to customers at the end of the third quarter of 2014. Which will be recognize in future periods. We generated $22.2 million of non ethanol operating income for the quarter which was up $8 million from the third quarter of 2013. That was comprised of a $2 million increase in operating income for corn oil production a $1 million increase in the agro business segment and a $5 million increase in the marketing distribution segment year over year. Marketing distribution better performance is primarily related to an increase in merchant trading activity in 2014 offset by decline in income from crude oil transportation. We are very pleased with the performance of this segment reporting $9.4 million in operating income for the third quarter. Interest expense increased approximately $2.7 million in the third quarter of 2014 due to a higher interest cost associated with the recent term loan B refinancing as well as higher average debt balances outstanding. Our income tax expense was $24.3 million for the quarter which approximately 36.7% effective tax rate for the quarter. We anticipate our tax rate will continue to be around 37% or so for the remainder of 2014. Earnings before interest, income taxs, depreciation and amortization or EBITA was $91.4 million for the third quarter and on a trailing 12 months basis EBITA totaled approximately $324 million. On the balance sheet we believe our goal to reach net term debt of zero by the end of 2015 is well with insight in fact our net term debt as of September 30 was approximately $81 million which almost $45 million less than one quarter ago. Obviously, our liquidity position is very strong with over $400 million of cash from the balance sheet and ample amount of available credit on our various lines. Our credit statistics include on Page 7 of the slides, show the financial power of our platform in this margin environment. Since the end of third quarter last year to the end of the third quarter this year we reduced our term debt to total capitalization from 51% to 39%. We reduced our term debt to EBITA from 3.2 times to 1.5 times and lowered our required debt services from $0.08 per gallon to $0.05. Again this is during the same time frame that we invest over a $180 million in acquisitions and capital expenditure. For 2014 year-to-date we’ve invested $44 million in capital expenditures and approximately $24 million in acquisitions. We employ a disciplined approached to all of our acquisition and capital expenditures and have positions ourselves to be opportunistic, but patience. We’ll be working through our strategic plans and budgets for 2015 with our board in coming weeks and we’ll have more information for that on the next quarter call. With that I will turn the call back over to Todd.
Todd Becker: Thanks Jerry. For the fourth quarter of 2014 we are approximately 65% hedged as of today but remember we are done with October already as an operating month so those numbers include that, but this translates to about 50% open for the remainder of November and December on the crush. The locked away margins before the current correction but we are starting to see those margins recovered quite nicely and believe the rest of the quarter excellent has market fundamentals to build on. Our current view is that ethanol weekly reported inventory should continue to drop for the quarter, as exports are starting to have an effect on this levels and productions levels have not kept pace with demand at this point. In fact ethanol inventories reported this morning were the lowest since April and the export certain -- the export program is certainly kicking in those numbers. For Green Plains approximately 15% of our Q4 ethanol production was sold into exports and we continue to see more interest every single day. We have volumes sold and destined to India, to Philippines, Brazil and other developing countries along with our normal buyers like Canada and others. Interestingly enough, we’re booking export sales into 2015 extending into the third quarter of next year. We typically have not been exported interest that far out in the future. Ethanol remains a $0.45 to $0.65 a gallon or greater discount on forward curved to whole sale gasoline, providing blenders and refiners the economic incentive to blend both domestically and globally. The industry continues to put E15 into the marketplace. There are now 92 stations across 14 states offering E15 to customers. We believe that E15 could generate an additional demand as we approach the end of 2015 and we also believe it could be the beginning of a steady growth of the extended blends available to the consumer. The two many drivers are economical blending and the grants available towards independent and regional retailer who realize they are leaving money on the table for not offering E15 as the pump. At this point our significant change in U.S. looking a broad role out of this fuel. Rail service recovered in Q3 as we saw our fleet velocities improved. But as a last couple of weeks or where we are seeing a significant degradation of service on several carriers. We do anticipate the department transportation will come out the ruling and retrofit rail cars before the end of 2014. The retrofit program probably does not begin until early 2015 but could have an effect on rail fleet velocities in the U.S. as well. This could create issues for ethanol inventories overall and cause dislocation opportunities for us to take advantage of similar to earlier this year. In agro business we expect to come out of harvest full of grain inventory in most storage location, including all of our flat storage expect the project we have not completed in Obion. So far the assumptions for returns against this space remain as expected. We were also pleased with results we are experiencing at a Supreme Cattle Feeder operation we continue to see good progress with the business and continued increased the percentage of cattle on that feedlot. At the end of September Green Plains owned approximately 50% of the 44,000 head of cattle on feeders supreme. For Algae not a whole lot to report this quarter we continue to focus on how to best to allocate capital for this business. We need to make sure we can scale our technology and profitably produced product for feed and food. We have completed a set of fish feed trials design to test whether our Algae meals could displace fish meal in California yellowtail diets. In the larger fish we are able to completely displace fish meal and as a result had higher growth and feed conversion rate compared to the reference diet which is very optimistic for our products. We have also been able to produce higher Alage oils over 70%, Blake rich powders and some EPA rich powders with the percentage Omega 3 fatty acids. Besides the oil we can produced all of these product in Shenandoah. Although certain we can make lots of different products we are determining whether we can make those profitably. We’ll update you as we learn more every quarter. For 2015 once again the forward curved does not give us good margin visibility. But in spite of that we have had six straight profitable years. The long term fundamental remain intact and in fact are very much in our favor for 2015 as of this call. As we can aggressively compete globally as a molecule. We firmly believe that we have significant growth opportunities in our future. We can add ethanol capacity, grand storage, merchant trading, downstream terminal link, cattle feedlot and become a bigger platform then we are today. We continue to work on our operating efficiencies by improving yield, streamlining our processes and lowering our cost. We have never been financially stronger then we are today. Our capital allocation strategy consists of growing our businesses either through acquisitions or organic expansion, dividend growth and share buybacks. We continue to focus everyday and creating value for our shareholders. With that I want to thank everybody for joining the call today and I’ll ask the moderator to start the question and answering session.
Operator: Thank you. [Operator Instruction] And will go first to Brett Wong of Piper Jaffary.
Brett Wong - Piper Jaffary: Thanks for taking the questions first I was wondering if you could talked about the bases that you are seeing in your footprint and the impact that might have to margins in the first quarter.
Todd Becker: Ethanol basis or corn basis or both.
Brett Wong - Piper Jaffary: Corn and ethanol, if you won’t mind discuss about it.
Todd Becker: In our locations where harvest is fully underway we are seeing defensive basis levels over our dumps that were in progress. So some of our plans were definitely below historical levels. But then where we haven’t seen a base is start or the farmer hasn’t -- we haven’t seen harvest start and the farmer is slow to get its corn in another field those bases level are still historically high. So it’s a bit of a diversity across our platform in the East we remain firm but in some of our Western Nebraska plans we definitely remain defensive and as well as Minnesota. In terms of the ethanol basis even more interesting than that though, I would say we are seeing now a return of very high basis levels in several of our market in terms of seeing Chicago well bid at 7 to 9 over for product trading as high as 21 over the other day to rule 11 trend which is the highest we’ve ever seen historically. Which I think goes back to the tightness we saw this morning in stocks report and New York Harbor needing to source gallons and so what we’ve seen is that, while we’ve had built inventories in Q3 that I think the market got a little nervous about we have really seen a rapid reduction now as the export program kicks in and in fact the numbers this week implied over 90 million gallons of monthly export. And we are very confident that will continue to atleast be part of the story for the next couple of months going into the next couple of quarter. So it’s kind of a tale of two different market. We’ve got strong ethanol basis and a weaker corn basis but in some areas corn still need to get harvested and we’ll have to wait for those areas to see if they weaken.
Brett Wong - Piper Jaffary: Excellent thanks to add the color on that Todd, just looking at exports. So obviously with Dilma Rousseff back in office will it likely weigh on the sugarcane industry down there, which should be positive for export. But still it’s yet to be seen how production is, but wondering if Brazil’s demand for U.S. imports falls off, where does incremental demand come from?
Todd Becker: Well, I think Brazil is just steady, I don’t think actually there is anything remarkable about what they are buying from us. I think other parts of the world have picked up where Brazil has left off and in fact I would say they haven’t been the biggest part of our program. Countries like India have remained very active, Philippines are very active, much more than we have ever seen, I think they are allocating tanks space to ethanol in the imports and we’re seeing that market become a very robust destination for our product. Along with Canada continuing to be a strong market. So Brazil actually kicks in to levels we’ve seen in the past we’ll actually increase exports from here. But I would say Brazil has not been a large player so far in our export sales books. We’re going to have to wait and see what their internal structure looks like, what there sugar market looks like, we’ll see if the blends go up down there, which people are talking about. So, we think all of those, those fundamentals are still on our favor today, but that is a bit of a wait and see for what Brazil is going to do. But in general they haven’t been impactful yet to our export program, is that correct Steve? Okay.
Brett Wong - Piper Jaffary:  Great. Thanks a lot. I’ll hop back in queue.
Operator:  Thank you. We’ll take our next question from Farha Aslam from Stephens.
Farha Aslam - Stephens: Hi. Good morning. First question again on exports, what do you expect fourth quarter export to be and how does that compare to last year for the [indiscernible] industry, not just for GPRE?
Todd Becker:  Yeah, I mean our thinking exports for the fourth quarter are probably going to be somewhere in that 200 million to 300 million gallon range or more, I’d say somewhere in the middle of that, I have to go back and look at fourth quarter of last year, so it's 200 million. So, we would expect a stronger program this year than last year for exports. Our export program last year started to kicking in Q1 of last year, Q1 of this year after that quarter was over. So, we’re start -- definitely start to see earlier movement of our product globally, which is why we’re seeing strong demand out in the curve as well.
Farha Aslam - Stephens, Inc.:  Awesome, that’s helpful. And then you had mentioned that you started to lock some of your margins in, what’s the reasonable expectations of what EBITDA margins we can look for the fiscal fourth quarter?
Todd Becker:  Well, we don’t give specific guidance necessarily on what you should look for, but I would say if you look at -- thus far margins are over $0.30 a gallon today and looks like they have expanded a bit here this morning again, but that doesn’t include some other factors from a strong spot basis. But I would say that has been down from the high that we saw during the quarter, during last quarter for the fourth quarter before the margins got defensive, but I think we’re starting to see a nice expansion back and we’ll have to wait and see, but I would say right now margins in the nearby markets are tracking over $0.30 a gallon.
Farha Aslam - Stephens, Inc.:  Great. And then my final question is about cash flow and your priorities for cash flow and notably how is your M&A pipeline?
Todd Becker:  Yeah, we’re definitely focused on growing the business first. And so our cash that we look at absolutely in terms of our capital allocation strategy, we want to grow the business and so, we continue to focus on M&A, things are expensive as we mentioned last quarter, so we just need to be a little bit more patient and find the right opportunities. But I would say in every one of our segments we’re looking to expand our capacity both organically and through acquisitions and while you may not have seen much lately that doesn’t mean that we’re not actively seeking to grow the company through acquisitions. After that, rest of the capital allocation strategy will revolve around our dividend program and our buyback program but much of that will be over -- that the long-term strategy much more -- much difference in how we’re thinking about growing the company now. So, that’s the order of how we’re thinking about capital allocation and with our cash flows. And we will continue to build, we still continue to have -- obviously have large debt balances but we have that offset with large cash balances, but I am not sure that we’re necessarily ready to make significant changes to how we’ve behaved in the past.
Farha Aslam - Stephens, Inc.:  Great. Thank you very much.
Operator:  Thank you. We’ll take our next question from Lawrence Alexander of Jefferies.
Lawrence Alexander - Jefferies : Hi, Todd and what’s your perspective currently on discipline that is if industry margins were to come into pressure, how fast you think would take full blown capacity to start being taken off to market?
Todd Becker:
Lawrence Alexander - Jefferies : Then how did this sum, this business of the cattlelots. How should we think about the EBITA contribution in potential next year or is it going to be a sort of a lumpier of business for you?
Todd Becker: Yeah we are not giving any guidance on that it’s in our agro business segment. We think it will accretive to earnings but it is definitely lumpy, I mean there’s definitely opportunities and as we’re building inventories you’re not seeing the full benefit of those inventories. And we’ll start to see that more into the first quarter as we start to market our cattle because under current situation we bought a fee lot that had all customer cattle’s, we’re just earning return on that. But we are putting our own cattle into it, so take time for that cattle to realize into a margin and we’ll start to see some of that in the first quarter and second quarter of next year and really just become a margin business and as we continue to grow inventories we’ll give you a better guidance on the contribution to that in the forward quarters.
Operator: Thank you. We’ll take our next question from Matt Farwell of Imperial Capital.
Matt Farwell - Imperial Capital: On the export market how much do you think that the gasoline price and oil prices are effecting the export markets for ethanol are they more policy driven?
Todd Becker: I don’t thing to drop in global oil prices or gasoline prices have affected us very much I think it’s a combination of new policies that are going into effect globally, but also the fact that if there is an economic incentive to extend their field supplies as well. So it’s a combination of both but so far we haven’t seen a slowdown of interest at $80 oil on a global basis for our product did all.
Matt Farwell - Imperial Capital: Okay and do you have a view on with the floor for corn could be next year.
Todd Becker: I think when you look at corn you have to look over the soy complex figure out where they going to go first, because we have to continue to compete as a planting at the farm levels in the U.S globally. So I think what you’ve seen so far of those recent low are probably going hold for while so we figure out the soybean situation and once we figure that out we can determine where we really need to go. I mean the interesting thing about the structure of the corn market today is the fact that we’ve rallied $0.50 and we were at 85% of full carry and that hasn’t changed at all. And so I would tell you there is plenty corn out there and this rally is not necessarily driven by demand, so certainly is not a demand rally. And I think you are going to see farmer continue to sell into this rally and ultimately if you can figure out the soybean situation, corn really doesn’t need to be here from a price perspective. I don’t know there will be other break $3 were easily any time soon.
Matt Farwell - Imperial Capital: And margins have moved around recently and then we’ve seen production down but that could mainly due to maintenance issues and due to issues at individual plans. Where do you think supply could go with today’s numbers are much higher where do you think it could head in the fourth quarter.
Todd Becker: In terms of daily production
Matt Farwell - Imperial Capital: Yes.
Todd Becker: Or inventories.
Matt Farwell - Imperial Capital: Daily production.
Todd Becker: I think look when you produced 930,000 a day and 940,000 a day, we haven’t been able to sustain that for four weeks in a row yet. You’ll probably push those levels but you need -- right now the demand is telling you need to produce 940,000 a day just to kind a breakeven against the current domestic and export demand. And I don’t think we have the capability to do that on every-week basis. So when you look at that it looks like supply in demand are atleast in equilibrium if not favorable to the demand equation much more than the supply equation so as we’ve said and we indicated to in the last call that the export program was slot on the third quarter. We thought stocks would build, anticipating a very large export program in the fourth quarter, were stock were draw even against current production and domestic demand is good as well so while you might see a 940,000 a day case it doesn’t mean that’s any stocks building mode at all, especially with what were loading off shore. And really a fundamentals and what we’re seeing in the domestic ethanol market in terms of values that we’re seeing would dictate that there is not enough production to service all of demand end out here today.
Matt Farwell - Imperial Capital: Great. Thanks for answering my question.
Operator: Thank you. We’ll take our next question from Ed Westlake of Credit Suisse.
Unidentified Analyst: Hi this is [indiscernible] on behalf of Ed Westlake. Quick question on the EBITA about gallon in the quarter you’ve mentioned it’s $0.27 is it comparable to the adjusted number you disclosed in the last two quarter of $0.25 and $0.26 and then I have a follow up.
Jerry Peters: Yes Todd I’ll take that one. Yes it is comparable and we’ve laid it out here as we have in the past as broken between Q1, Q2, Q3 and we show the number of the ethanol segment. What we did was because of the inner segment profit elimination between Q1 and Q2 with combine those two and I think we come up with a number of around $0.25 or $0.26 somewhere in there so relatively speaking its comparable when you are going to take that noise out of the inner segment eliminations.
Unidentified Analyst :  Make sense, thanks. And just looking at your hedging strategy right now you mentioned that 60% hedged in the Q4, have you mentioned anything about Q1 or what you are looking for hedging for the next year?
Todd Becker:  Yeah, so what we said is 65% for Q1 in total, I am sorry Q4 in total, but still leaves 50% open for the rest of the quarter, open to deals. So, we remain more open than we typically have been during a quarter. Q1, we really don’t have a forward hedging program on at this point, the curve showing a full carry on corn and inverse on ethanol that has to play out and we continue to see the front end of the curve roll up to be the place you want to be and when that rolls up enough in our next quarter we’ll start a hedging program. But at this point there is absolutely no reason for us to start any kind of forward hedging program based just too forward curve again this spot market. With the current fundamentals in place we think that the back end of that curve will need to a bunch of work and we think that work will get done, as it has really for the last six years.
Unidentified Analyst :  Thanks. And last question on my side, you looking at exports of roughly 800 million to 1 billion gallons this year, what are your expectations for next year and based on your comments on E15 adoption, what do you think E15 demand could be in U.S. next year? Thanks.
Todd Becker:  Yeah, I think exports will be structurally similar, some of it depends on, some of the Brazilian weather that we’re seeing, but I just can’t see them competing with their price of sugar versus the price of corn anytime in the next 12 months with us globally. Unless we have some weather event next summer around planting or around growing season in U.S. So, I think next year could be structurally similar to this year. In terms of E15, I think that’s a number under development, but any gallon we blend through E15 is another gallon that continues to trend in our favor and with the 92 or so or 90 gas stations are so that are offering it today and we think there will be 100 more offering it next year, that’s a small slice of the tens of thousands of gasoline stations that are out there. But we do see big initiatives by very large retail chains to get this product into the pipeline and make those shifts over into from the asset perspective at their fuel station. So, I think it's slow progress, but we’re starting to see some real traction around that progress, I can’t give you a real number, but every million gallons is important.
Unidentified Analyst :  Thanks for taking the question.
Operator:  Thank you. We’ll go next to Craig Irwin of Roth Capital Partners.
Craig Irwin - Roth Capital Partners : Good morning and thanks you for taking my question. Todd, can you update us on the gallons that you expect to export in the fourth quarter Green Plains export gallons and whether or not you have any commitments on for the first quarter? And then as second part to that question, there have been I think 3 trade missions to-date to - where we would expect there would be some progress pushing export to ethanol globally. So, you said repetitively over the years it's a cheapest molecule, obviously still is. Do you have any specific updates from those different trade missions that took place and is there anything else you can share with us that you learn from them?
Todd Becker: Okay. To give you an idea in terms of export gallons what we said is we’re at a minimum 15% sold for Q4, we could flex that higher. So, when you at the gallon against 250 million gallons roughly of production its somewhere between 37 million and 42 million gallons of our capacity. In Q1 to give you some guidance around our export program, right now we have somewhere between 7% and 14% sold depending how those gallons flex, we would expect those to flex onto those higher levels the domestic versus export and then that looking even to Q2, we have almost 7% of our gallon sold today in Q3, we have gallon sold as well. so, we have bigger forward export book at this time through our Q3 of next year than we have our have had in the history of our company, those are -- those forward gallons are getting book to places like India and the Philippines and Canada and places like that where we’ve done a lot of work as an industry over the last several years. I’ll let Steve comment more on kind of some of the trade missions that and the results that we’re seeing in some more that are going to be happening.
Steve Bleyl : The ones that we’ve been to, we’re starting to see improvements to them, we do have some schedule for next year, you got Southeast Asia schedule for this December and you have one leaving this week actually going for Peru and South America. So, you start to see progress into those but it's a long process, but they already taken what they can, now it's a matter of building up the infrastructure to continue to grow that business.
Craig Irwin - Roth Capital Partners : Great. Thank you that was really helpful. So, my next question I guess also relates to the international markets, but there has been a lot of chatter coming from Brazilian ethanol producers that Dilma Rousseff will be strong support of increasing the blend rate in Brazil to 27.5% from the current blend rate of 25%, what do you see as our send out capacity that actually meet demand in Brazil if they are not able to produce at a level in a short-term to meet their internal demand and -- well do you have an update for us around this subject.
Todd Becker: Yes so I think there is always lot of pressure can you meet expanded export demand with the infrastructure at the ports that we have today and I could only remind you that couple of years ago we did 1.2 billion gallons or higher. A billion few gallons and run a 800 million to a billion pace this year. So I’ll tell you that the infrastructure for exporting those gallons is fully in place and in fact we’ve seen an increase in that infrastructure over the last couple of year in a multitude of product that you can push through port terminals. So I would say that if Brazil needs the gallons and wants them, we can export them. It’s just be a matter of what our price structure would do if they came in aggressively to buy 200 million, 300 million or 400 million gallons that would definitely changed our overall price structure. So again we are watching the weather for sugar and coffee it’s very important to our market down in Brazil and of those don’t go -- doesn’t swing there way I think an expanded blend down there would be in our favor and I think we have the capacity to get the gallons boarded on both. But I don’t know if we have the additional capacity to actually producing enough of for all the demand that would come up without really stressing our over inventories -- weekly inventory levels back down into that 15 range like we saw earlier in the year. So let’s see what happen crossing our fingers and we’ll see if we can get some of that Brazilian demand to come aggressively back up here we work on it every day.
Craig Irwin - Roth Capital Partners : Great and then last question if I may? There is been a couple period of future producer of ethanol and actually one current producer. Looking at things like use of carbon dioxide or sequestration of carbon dioxide as a pass way to allow them to increase capacity. Do you have any evaluations going on now whether not that’s available to bring plans and do you expect this to be a broad seen across the industry?
Todd Becker: Damage to recover sequestration is the path where you going try and get to expand the production I think there is other opportunities to do that I think people have -- still can expand production just based on their current registered rate that they have with the government. If they want to put that CapEx in there but we think the industry is going slow on that process. While everybody’s certainly going to try get more out of their current platform. You don’t want to over produce and I think everybody sensitive to that. So I’m not sure that we’re not necessarily focus on sequestration when we look at those opportunities I think other that we can look at first. The other thing is I said just back to your question on export I think was interesting is when we start pushing 1 billion to 1.2 billion export we don’t produce pull out from a company standpoint because with respect that we have to produce where a lot of this export market actually we run slower. And I think that’s a very interesting offset that you can think about is the higher the export demand they actually slower that we would run overall as a company to produce gallons for that export demand. I don’t think people think about inverse relationship of that, but there is definitely an inverse relationship to that because of the water spend that we have to produce.
Craig Irwin - Roth Capital Partners : Great thanks again for taking my questions.
Operator: Thank you. We’ll take our next question from Akash Doshi of Citi.
Akash Doshi - Citi: Hi guys. Todd and everyone thanks for having the call. Couple of quick questions one is regarding blending economics. On a spot basis RBOB and ethanol has a tightened quite dramatically. So are you concerned at all or you getting any push back from refiners as far as using ethanol as blended net input and kind of what your outlook on that for next year are you expecting a record year domestic disappearance across industries.
Todd Becker: No I don’t at $0.40 a gallon up from a low of right around $1 a gallon we are having significant ideas around changing the blend. $0.40 of gallon is still good place to be from the blend standpoint and looking out on the curve until last half next year over $0.70 gallon all way out in the curve so we started here at $0.40 out of $0.70 and in between there is plenty of opportunities, I think one thing to keep in mind is that if we are in November already a lot of the gallons have been priced in terms of buying gallons for the blend. So I’d the only argued that the $0.41 might be for a portion of what you are seeing out there but other blenders have those margins locked in a lot better them. We saw a lot of deals from our demand standpoint that people wanted to buy are they differential RBOB and locked those wider margins away so we see that when the margins or when the RBOB differential to ethanol gets very, very wide we actually – our end use demand buys against the RBOB instead of buying ethanol outright and that’s where they are able to lock those spreads away but our having to take a flat price risk and we’ll just hedged in RBOB as a company so I think that’s the first point and what is your second question actually.
Akash Doshi - Citi: I mean do you have just a generic number disappearance for Kal15 may be how high you think that domestic disappearance could be on a gallon basis.
Todd Becker: While we keep selling the amount of SUV that which are going sell, I would expect that domestic disappearance next year will be a record as long as the economy holds and gas demand is doing what it's doing, so I don’t think from our standpoint we believe there will be a significant drop at all in domestic demand and in fact hopefully if we see at least steady to an increase overall with the expansion of E15 as a part of the program and even more E5 being put into the market. So, overall we would expect very strong year in ’15 for domestic disappearance.
Akash Doshi - Citi: Okay. Specific to the exports, so agreed that oilseed complex and the soymeal in particular is driving the grains market right now, do you have any concerns about rail and congestion issues to shift barrels out of pad to out to the coastal export hubs or consuming hubs. Do you think that could be a risk potentially? I know you say that infrastructure is there in the past for 1 billion, 1.2 billion gallons of ethanol exports, but since that time U.S. has grown its crude production by several million barrels a day and kind you’re seeing a lot of competition in the railcar space and obviously that’s what’s driving soymeal and oilseeds right now. Are you concerned at all that ethanol could be at risk of seeing delays getting it out to port and potentially being a headwind to that very robust export sales figure that we’re expecting?
Todd Becker:  From the standpoint of concern, yes, and we always have a concern that you can just completely get backlog. But I think what we’ve seen is people get their fleets back from the back in and at least have some right size fleets like we have last year where even with the significantly worst winter than I think we’re experiencing at the beginning of this winter season, we were not at anytime constrained by our fleet and our ability to move cars and what I would say is probably a worse rail situation last year than we anticipate this year. That being said though, supply this locations provide opportunities, I think we will get the adequate barrels we need to get to support the export program. The market runs a lot more unit trains than they ever have run in the past and those unit trains move more efficiently than the market had done in the past. So overall, while congestion is always a concern of ours, it's also an opportunity as well, but I don’t think it will provide headwinds to the amount of exports that we’re doing because the 800 million to 1 billion gallons and even higher than that, the capacity is there from the port perspective, we really don’t have significant trouble finding that capacity and even with the increase in crude and other things that move on the rails were still able to move our product pretty well albeit we definitely have some seen some slowdown as of late.
Akash Doshi - Citi:  Okay. Thanks and just real briefly on E15, I think others have touched upon that, can you just give us a grosser medium-term kind of outlook there, I know 92 stations in the U.S. small amount, but you’re saying growing to the 100 next year. Can you just kind of maybe give a medium-term outlook not holding you to it, but just where do you see that as the final pool in the U.S. as far as ethanol take down, I mean it's very nascent right now, obviously you are bullish on it, but can you put some numbers into that and kind of the medium-term structural outlook there?
Todd Becker:  Yeah, so right now we have under 100, I think by the end of next year we’ll have several 100 if not over 200 to 300 more stations could get added next year. Just slowly but surely those stations -- our first goal is to get to a 100 million gallons, I am not sure how fast we can do that and then after that we can get to multiple 100 millions of gallon. So, we have very large metropolitan areas that are also considering E15 as a blend, we need to see those through as well. But no I can’t give you specific guidance on any numbers except to say that any of its good or our domestic disappearance and we’re aggressively working as an industry to get more E15 into the marketplace. It's a stay-tuned kind of thing as we see what that really means, but what we seen though is the station that offer E15 they are cheapest price on the street and they are draining their tanks all of the time of that product. And so we know the product get sold when it's available to the consumer and it's just a matter of getting in rolled out as quickly as possible.
Akash Doshi - Citi:  Thank you guys very much. Appreciate it.
Operator:  Thank you. We’ll take our next question from Gary Hu of Silver Point Capital.
Gary Hu - Silver Point Capital: Thanks for the call. I had a question just on M&A, I think you had mentioned before that you guys are out there looking and it's a capital allocation focus, what you said things are richer what exactly does that mean, what metrics are you focused on? And then as part of that question, where do you see the sort of the size the Green Plains could be, what sort of capable if you are sort of a close to a 1 billion gallon now what could you see over the next couple of years?
Todd Becker:  Yeah. So, in terms of valuation then we’ve seen some stuff traded as between $1.16 and $1.80 a gallon and from a standpoint where we purchased most of our asset under a $1 per gallon, we feel like we can be patient at those numbers and really don’t want to pay much of a premium or even the public market comps that are out there today. Albeit some have different metrics about there. So, to provide a 110 million or 120 million gallon plan at a $1.60 gallon you paid $192 million for that plan, those are some pretty big numbers to own the capacity except say that it’s still the cheapest refining capacity in the world that you can buy today. So, in a margin environment where you’re earning $0.30 or $0.40 a gallons the multiples look interesting and then in a margin environment were in $0.27 a gallon, it might now be as interesting. So it’s a long term view when you look at this evaluation expect to say that we’ve done so well buying gallons under a $1 a gallon I think we could be patient to find the right opportunity if we really want to buy plant, we could buy plants it just a matter of how far do we want reach at this point. And our platform is really set up to expand. To say that we have a goal of 2 billion gallons or 3 billion it’s hard to put a number out there but we always have a goal growing our production volumes we definitely don’t want to stop at a billion gallons. And we think we are at great opportunity to continue to be one of the players that consolidates when the opportunities are there. We want to grow our grand storage 50 billion bushels is nice but we think a 100 bushels is better want to grow our terminal capacity. All we have 9 terminals today with one large terminal we definitely want to look at other big opportunities around there and then every -- all the additional opportunities around that. So we have high aspirations to continue to grow the business if we were happy with a billion gallons today I would say that probably not where we want to be as a company or a shareholder base. But I think we are in great shape to spend the business and when the right opportunity present itself while be there to organically expand or to buy different parts of where can grow.
Gary Hu - Silver Point Capital: Thanks that helpful. And can you also give me a sense, for I think you’ve said that half of November, December is locked in terms of ethanol margins. What rate are those locked in? At what margin?
Todd Becker: Yes we don’t specifically give that, expect we did give guidance in the call that we had locked margins away a little bit higher then where the break had occurred, so I mean we didn’t get the highest highs but we are also comfortable that where we are at, at least that half is within the range of the current market.
Gary Hu - Silver Point Capital: Okay. Thanks you very much.
Operator: Thank you. We’ll take our next question from Paul Carpenter of Standard General Investments.
Paul Carpenter - Standard General Investments: Hi thanks for taking the question. I had some follow up questions on some of the previous comments about capacity. And then the answer to the last question about growing organically. Sort of a two part question my understanding is that most ICM plans are over build on the back end and that should be increase their capacity quite meaningfully. Because that something your planning on doing or something you are seeing occurring elsewhere and then secondarily at a recent investment conference which represented, I believe you said you thought that no new capacity would be build in the U.S unless it was for the export market because it wouldn’t be able to get rent however it’s my understanding that some of this new project like Dakota Spirit as long as below -- a certain level below to base line EPA level so those still be able to get rent so that basically any plan build this and ICM design will be able to get rent. So can you clarify us to why would you would have made -- same part of this question why would have made that comment and if I’m nothing understanding it correctly. Thank you.
Todd Becker: Yes so the back in the ICM plant isn’t the only place where you had opportunities but we’ve done a lot of that already as an industry. We all have de-bottle necked this plants to a point where was not much left to do as an industry. So I think what we’re producing today you would have to put on some major capital expenditures around hammer mills and around fermentation and distillation to actually expand plants much further what the industry is operating at today. We all try to get that next gallon or the next part of starch in the cornel, but in general that happened already and so we don’t anticipate a significant creep from the back end of a current ICM current plans today with regard to no new capacity in the U.S. I mean there are a few projects that people are looking and seeing if they can find a pathway to get approved with other technologies around food and bed burners or things like that you have to have a pathway that can get approved, if build a gallon a new plant, a new capacity to get a win is that correct Jeff and Steve. And so they’ve laid those out -- the EPA has laid those out and if you can get your pathway approved which some people believe they can you can build a plant and then the question really is, how long will take you to do that and at what price? Our intelligence tells us to build a new plant today, it would be over $2 a gallon and would take somewhere in the range of 18 months to two years because of labor shortage and material shortages. And so I’m not sure I’m going changed necessarily my view, if you can find a pathway and you feel it you want to build the plant. You can always do that that may be a rentless gallon, may find the pathway or rents gallon. But at this point I’m not sure that there is any direct path to do that but again you can’t stop people from building and they feel like the margin structure will continually be greater than the win value then certainly build a plan see what happen and trying leave pathway approved.
Paul Carpenter - Standard General Investments: Thanks for that but I guess this maybe for clarification my understanding is with Dakota Spirit project looks like it’s going to get rent. So looks like they are well below on their pathway so I just wonder what that will do.
Todd Becker: I don’t know specifically about the project might be a steam part of the pathway that might be an extra power plant -- again I am not up to speed on their project.
Operator: Thank you. We’ll take our next question from George Noble of Noble Partners.
George Noble - Noble Partners: [indiscernible].
Todd Becker: We can’t understand anything you are saying George.
George Noble - Noble Partners:  Can you hear me now?
Todd Becker: Yeah, it's much better.
George Noble - Noble Partners:  [indiscernible].
Todd Becker:  We’re not going to comments specifically on the details of our program as it literally just been announce and so we’ll continue to give you update as we execute the program and that it's a long-term capital allocation strategy that we’re not going to necessarily get too caught up in the short-term issues there. So, we really don’t have too much to call on that today. Okay?
Operator:  Thank you. We’ll take our next question from [indiscernible] of Glen Asset Management.
Unidentified Analyst - Glen Asset Management:  Hi. Most of my questions have been answered. I just like you to comment of that recent DDG price and then your outlook for next year?
Todd Becker: Yeah, so DDG prices have fallen throughout the last quarter, but we seen an uptick recently as soymeal prices rallied significantly and we’re seeing very good substitution of our product both domestically in plenty of global market. While China has exited the 400,000 tons a month market while we -- and we went over relative to -- or went out relative to corn prices, the contribution is still, still very good at the margin and the margin has certainly rallied right through there. So overall DDG prices are steady.
Operator:  Thank you. With no further questions. I’d like to turn the conference back over for any additional or closing remarks.
Todd Becker:  Just want to thank everybody for coming on today and being patient through all the questions, obviously lots to cover. But we’re very excited about our future, we think the fundamentals are great for our business today. Obviously, we’ve been growing our business and you can kind of see the result of that in terms of the numbers that we put up. But we think there is still great places to expand our business and grow our earnings overtime. We appreciate you coming on the call today and we’ll talk to you next quarter. Thanks.
Operator:  Thank you for your participation. That does conclude today’s conference.